Operator: Good morning and welcome to the Olympic Steel 2015 Fourth Quarter and Full Year Conference Call. Some statements made on today's call will be predictive and are intended to be made as forward-looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995 and may not reflect actual results. The company does not undertake to update such statements, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties and other factors that could cause actual results to differ materially are set forth in the company's reports on Forms 10-K and 10-Q and press releases filed with the Securities and Exchange Commission. Today's live broadcast will be archived and available for replay on Olympic Steel's website. At this time, I'd like to introduce the host for today's call, Olympic Steel's Chairman and Chief Executive Officer, Michael Siegal. Please go ahead, Mr. Siegal.
Michael Siegal: Thank you, operator. Good morning and thank you for joining us to discuss our 2015 fourth quarter and full year results. On the call with me this morning are David Wolfort, President and Chief Operating Officer; Rick Marabito, Chief Financial Officer; and Donald McNeeley, the President of our Chicago Tube & Iron business. In the fourth quarter of 2015, Olympic continued to execute on our program to reduce inventory, pay down debt and control expenses which we initiated in late 2014. At the same time we have also made notable progress on a number of long-term strategic growth initiatives, part of our vision to provide customers with more value-added content remains on a positive path, supported by the new fabrication business awards in 2015 from large North American OEMs. Our product diversification efforts continue to progress as sales volume of aluminum grew in 2015 and our Tubular and Pipe Products segment performed well, helping to offset the current industry headwinds facing carbon products, particularly in the carbon flat universe. Externally market conditions in the fourth quarter of 2015 were even more challenging than earlier in the year and certainly far more than we could have predicted. After the preceding 12 month decline, compression inflation accelerated in October and November with persistent weekly price declines experienced until mid-December resulting in extreme margin pressure in the quarter. And yes, we successfully increased our gross margin compared with last year's fourth quarter and full year, a strong outcome of our working capital management efforts. In the last few days of December, prices finally stopped falling and churned higher, although modestly. Internally we successfully executed on sustainable operating improvements. While reducing our operating expense by $25 million or 10% in 2015, we also performed well for our customers with improved safety, product quality and on-time delivery metrics. I'm very pleased with our nimbleness, in managing elements of our business and effectively responding to what has been an industry inspiring in the market. Accelerated inventory turnover and managing working capital to generate positive cash flow were critical to weathering the industry volatility. We reduced inventory by more than $100 million, nearly 34% in 2015, allowing us to reduce debt and further strengthen our balance sheet. Also, inventory turnover ratios improved, which Rick will discuss and define later on the call. Since the middle of December metal prices have risen and the forward curve indicates the market expects firmer prices as we move forward. While plenty of external headwinds remain, particularly related to the large ongoing and devastating foreign dumping, actually illegal foreign dumping of steel products as well as weak commodity prices, currency exchange rates and sluggish industrial economic activity, the near-term outlook for metal price is better than it has been in months. I believe that -- actually it is under controllable items that favorably positioned us to gain market share and increase our gross margins in 2015 for the year. While disappointed in our 2015 financial results, I am proud of our employees performance and attitude this past year and wish to thank them publicly. Finally earlier this month we announced that our Board of Directors declared a regular cash dividend of $0.02 per share payable on March 15, 2016 to holders of record on March 1, 2016. And with that I will turn the call over to Rick for his financial review.
Richard Marabito: Thank you Michael and good morning everyone. According to the MSCI, the industry shipments declined by more than 11% in the fourth quarter of 2015 compared with the prior year. Our fourth quarter carbon flat products shipments declined by 15% to 230,000 tons, resulting in a full year volume declining by 11% to 1.04 million tons from 1.17 million tons in 2014. Volume was impacted by weak demand for plate products in the agriculture, mining and heavy equipment end markets that we serve. Sales volume in the Specialty Metals Flat Products segment held up much better. Shipments of specialty metals increased 2% to 17,000 tons in the fourth quarter. This resulted in a full year volume of 72,000 tons which was down only 1% from the 73,000 tons shipped in 2014. Prices were under pressure throughout the entire year and continued to tumble in the fourth quarter. Average selling prices for our carbon flat products were down 22% in the quarter and down 13% for the year when compared with 2014. Profits in nickel prices continue to pressure specialty metals pricing in the fourth quarter. This resulted in our year-over-year average prices for these products declining 15% in the fourth quarter and 6% for the year. Shipments and average sales prices in 2015 were also lower in our Pipe and Tube segment for both the fourth quarter and the full year compared to the prior year period. As a result of the depressed pricing and lower volume, consolidated net sales decreased 27.3% to $238 million in the fourth quarter compared with $327 million last year. For the year net sales declined 18.2% to $1.2 billion in 2015 versus $1.4 billion in 2014. As Michael indicated, our strong focus on inventory management resulted in year-over-year increased gross margin percentages in 2015. Consolidated gross margin improved in the fourth quarter to 20.7% up from 17.9% in last year's fourth quarter. Full year gross margin was higher at 19.8% compared with 19.2% in 2014. Continued strong margins in our Pipe and Tube business and a greater proportion of 2015's total sales coming from the higher margin in Pipe and Tube improved our gross margins in 2015. LIFO income increased in the fourth quarter as prices deteriorated more than previously expected. We recorded $1.6 million of LIFO income in the fourth quarter, bringing our full year 2015 LIFO income to $3.3 million. Last year we recorded $0.2 million of LIFO income in the fourth quarter and $0.4 million of LIFO expense for the year. The net LIFO impact accounted for 30 basis points of our improved gross margin in 2015. If you recall in the fourth quarter of 2014 we recorded a goodwill impairment charge of $23.8 million. In 2015 we recorded additional goodwill and intangible asset impairment charges totaling $25 million of which $500,000 was booked in the fourth quarter. We now have no remaining goodwill on our balance sheet and intangible assets totaled $24.8 million at the end of 2015. We successfully executed on our 2015 cost reduction initiatives, which contributed to a sharp decline in operating expenses. Before considering the impairment charges our operating expenses were reduced by $5.3 million or nearly 9% in the quarter and $25.2 million or almost 10% for the year. Excluding the impairment charges the net operating loss in 2015 fourth quarter was $6.7 million compared with an operating loss of $2.8 million in last year's fourth quarter. For 2015 excluding the charges the operating loss is $2.8 million compared with operating income of $14.6 million in 2014. Interest expense continues to decline in 2015 compared to the prior year. In the fourth quarter interest expense decreased to 1.3 -- increased to $1.3 million from $1.6 million last year. Full year interest expense was $5.7 million or 16% below last year's cost of $6.8 million. The decreases were due to lower average debt in 2015 and during the year our effective borrowing rate remained just about 2%. We posted a net loss of $5 million in the fourth quarter or $0.45 per share versus a loss of $26.9 million or $2.42 per share in the fourth quarter of 2014. For the year net loss in 2015 was $26.8 million or $2.39 per share compared with a net loss of $19.1 million or $1.71 per share last year. After adjusting for the nondeductible goodwill impairment charge, our 2015 effective tax rate was just under 40% and we would expect our 2016 tax rate to be around 39%. Now let's move on to the balance sheet. Unlike the external factors beyond our control, we actively managed our working capital during the year. Working capital improvements contributed $95 million in positive cash flow during 2015 with an additional $12 million in cash generated from our operation. Most of his $107 million in cash was then used to reduce debt. The bulk of the cash generated from working capital was from disciplined inventory reduction. In the fourth quarter we reduced inventory by another $22 million. This brought our full year inventory reduction to $104 million in 2015. We ended the year with $207 million of inventory which was down 34% since the beginning of the year. Our inventory focus resulted in inventory turnover increasing to almost 4.4 times in the fourth quarter of 2015, bringing our annual inventory rotation to 4.2 times in 2015 versus 4.1 turns in 2014. For clarity we calculate inventory turns based upon tons not dollars. Total tons shipped from our inventory are divided by the average inventory tonnage for the period. This turnover was calculated using our year end December 31st inventory turns on hand instead of the average inventory for the year. Our turnover velocity increases to 5.4 times in 2015. This demonstrates the speed with which we were able to right size our inventory and align them with the lower sales volume. Accounts receivable declined $31 million to end the year at $93 million. Despite the difficult market environment we have not experienced any significant credit issues within our customer base. We remain vigilant on credit and our average days sales outstanding were 38.4 days in 2015. That was essentially even with 2014. We reduced debt during 2015 by approximately $100 million to $148 million at year end, that's a reduction of more than 40% in the year. Our low cost flexible debt agreement is a real advantage in this market. Our asset based credit facility does not mature until July of 2019 and it contains no term repayment and minimal covenants as long as availability exceeds $36.5 million. We had $88 million of availability at the end of 2015 and that has grown to approximately $97 million at the end of January. We remain in compliance with all covenants and we expect to maintain similar strong financing availability throughout 2016. Capital spending remains below depreciation at $7.3 million in 2015. Depreciation was $18.1 million for the year last year. We expect this ratio to continue in 2016 with our CapEx estimated to be between $11 million and $14 million while depreciation should be just under $18 million in 2016. As of yearend shareholders' equity was $255 million or $23.25 per share with our tangible net book value at $20.99 per share. During the fourth quarter we purchased 65,000 shares under our 550,000 share repurchase authorization program and this was done at an average cost of $10.71 per share. And finally we will file our Form 10-K later today which will provide additional details on our operating financial results for the year. Now I will turn the call over to David for his operating review.
David Wolfort: Thank you, Rick. Well I will state the obvious and that is that it would be an understatement statement to say that 2015 was a difficult year in the steel industry. After a challenging first nine months the fourth quarter presented no relief as prices declined at an even faster pace. In addition volume which is typically seasonally weaker in the fourth quarter was even softer than we normally see. As the cost of steel making raw materials declined for those such as scrap and iron ore and energy, the market continued to deteriorate during the entire period of 2015, furthering import volumes of foreign subsidized steel imported to the United States and created a perfect storm of compounding factors that literally crushed steel prices. Of course this was exacerbated as Mike noted by the strong U.S. dollar, a welcome mat for foreign steel. As a result of these compounding factors, steel prices declined significantly during the year in major products from hot rolled coil which was down more than $240 per ton to cold rolled and galvanized plate prices fell even more at $300 a ton. In December prices for hot rolled coil touched a CRU index low of $354 a ton on December 9th which was down $243 per ton or more than 40% since the beginning of the year. These are prices we have not experienced since 2004, 12 years ago. Now since then cold rolled and galvanized have recovered and currently as we look into 2016 the spread of these downstream products has grown to close to $160 a ton over hot rolled so we are starting to see a recovery as we will continue to talk about. From the domestic perspective we're pleased with the trade actions taken so far, as some action is certainly better than no action. We anticipate that these efforts will continue so that our domestic industry can compete on a level playing field which has not been the case in recent years. Again we recognize the market shifts that were looming on the horizon five or six quarters ago as both Mike and Rick outlined. However the severity of these downturns was more extreme than we anticipated. We took decisive actions early in the down cycle to successfully navigate the challenges in the market. In 2015 we continued to cycle through inventory to keep pace with falling prices and we believe we are prepared to recapture margins as the market stabilizes. So as Rick noted we reduced inventory by some $104 million in 2015 and we took another $20 million out of that the quarter earlier than that fourth quarter of 2014. But again we did not anticipate this deep degradation throughout the year. On the positive side, since the middle of December the domestic mills have instituted two published price increases which have boosted prices off of that 12 year low that I just remarked. A $40 a ton December price increase was followed by a $20 a ton published increase in January of this year. By the end of January the CRU index as of yesterday was $398 per ton which is $44 a ton improvement over the December low and we would conclude that the first price announcement of $40 has been absorbed. Average lead times have also started to expand from the mills and service center inventory levels are beginning to tighten. All this has us feeling slightly better about the near term pricing. We also want to acknowledge the five-year infrastructure bill passed in December and we are encouraged by the strong industrial production reported for the month of January. After five straight months of declines, it's nice to see the largest increase in industrial production in 14 months starting this year 2016. If the industry prices remain stable through the next month in April we will experience the first uptick in quarterly index-based pricing since the third quarter of 2014. That being said we intend to improve our financial performance regardless of what the market brings. We have one new business that fits the strategic objectives with the help of our new Butech stretcher leveler line commissioned in the middle of 2015 in our Georgia facility. Several new fabrication awards with prime OEMs in the southeast represent the type of higher value business we are securing. Our Specialty Metals Group has also started selling fabricated stainless steel parts and our aluminum sales continue to grow. We believe these are attractive areas for profitable growth. As Michael mentioned we are benefiting from our strong financial condition and our ability to meet or exceed customer expectations. Our inventory is well-positioned and our cost structure is now better aligned with current business conditions. All the while preserving our flexibility to quickly respond to market volatility. With that operator let's open the call for questions.
Operator: [Operator Instructions]. Your first question will come from Phil Gibbs with KeyBanc Capital Markets.
Phil Gibbs: Just had a question in terms of what you are seeing from your customers as we come into the new year relative to maybe normal seasonality or just on demand trends in terms of the outlook for now?
David Wolfort: Phil, its Dave Wolfort, I will take a crack at that. I will tell you that agriculture and mining isn't any better. That's a certainty. But the rest of our customer base is doing well, automotive is doing well, specialty metals are doing well. Our Tubing business, Chicago Tube & Iron is doing well. And our flat-rolled business is doing well with the exception of those markets that I just nominated. So we see a stable marketplace in 2016 right now.
Phil Gibbs: Perfect. Then in terms of the gross profit margins of the business, when should we think that those get -- you start to see some meaningful lift. Is that going to be more of a later Q1 event? Do you feel like the inventories are in a good position now as we see it? Just help us think.
Michael Siegal: I think you will see some marginal improvement in the first, so recognize that a lot of our contract business is quarterly and really a lot of that was set in December at the low prices. And so that would reset somewhere in March and so we will see the impact of the real marketplace probably more in the second quarter. But certainly we are seeing some improvement in spot market margins, but it's going to be offset by sort of year end. The yearend pricing leading into the first quarter contract. So we will see it second quarter.
Phil Gibbs: Thanks very much.
Operator: [Operator Instructions]. From Macquarie we will hear from Aldo Mazzaferro.
Aldo Mazzaferro: Rick can you tell us how many shares you had outstanding at the end of the year?
Richard Marabito: Yes. It was approximately 11 million, but let me get the exact number for you.
David Wolfort: While he is searching it out Aldo you got another question?
Aldo Mazzaferro: Yes another question. Actually in response to your last question, I was wondering, why you won't see margins improving more quickly than waiting till the second quarter? You think there is some hangover on pricing that's still working away through on your specific products?
David Wolfort: Well Aldo we have actually seen a margin improvement as we listed the gross margins have increased in the fourth quarter. We have maintained the spread and we have stayed even with the CRU all the way through December, now we are a little bit ahead of the game. But as Michael well said, half of our business is contractual and those contracts set, some were set in the fourth quarter at a low number and we will look for them to reset for the second quarter. The spot market we do see some strength there.
Richard Marabito: And Aldo it's 11.1 million shares outstanding.
Michael Siegal: I don’t want to be redundant but we are seeing some margin improvement on the spot sales but the contract sales kind of fixed rate.
Aldo Mazzaferro: What do you think about your strategy on buying back shares? I remember you saying previously that you thought your float was too small and therefore you are reluctant to make any moves on that and it seems like buying back shares obviously would be against that thinking. But I understand the valuation. I am just wondering, when you think about a long-term basis, is this a share repurchase program that could be extended and increased as you go forward if assuming the prices will continue to be affected?
Michael Siegal: The answer is our Board determined to support our shareholders and the price of the stock as we felt we are drastically underpriced. And so, I think it's important -- we have faith and trust in our share price. We're trading at 50% of book value, Aldo is, one, it's an opportunity; but two, it really is we have a lot of faith in this company and we tell our shareholders and current shareholders that we at Olympic do have faith in the price and that as the price -- we just don’t want it to fall down to a position that is so ludicrous that creates -- things which would create some concern with our employees particularly and the others that will look at us as too big a value. So we just have authorization to do it. As you saw Aldo we went and took out 65,000 shares. Again we are not saying anything other than that. We believe in the -- that the share price is too low and we will support it as necessary.
Aldo Mazzaferro: I think it's a great strategy and I point out that just by shrinking [indiscernible] doesn’t necessarily mean that you shrink your market cap.
Michael Siegal: Aldo absolutely you are correct.
Aldo Mazzaferro: And then one final question.
Michael Siegal: And Aldo as Rick indicated from the flexibility in our banking agreement we now have cash to do this.
Aldo Mazzaferro: This is for Rick. I saw a press release out from one of the wire services this morning saying that there was a non-GAAP $0.17 a share report out of Olympic. I was wondering, do you have any idea what that $0.17 number referred to or was that just totally an error?
Richard Marabito: I have no idea what that is.
Michael Siegal: Aldo give us the source and then we will track it down for you.
Aldo Mazzaferro: I think I saw it on FactSet I think. It said the $0.45 was GAAP and then there was $0.17 loss non-GAAP and I don’t know what they were adjusting for, anyway.
Richard Marabito: The only thing I could think they were adjusting for is the combination of LIFO and the impairment charges. But I can't comment because I don't know what they wrote.
Aldo Mazzaferro: Yes. Okay just wondered. Thanks very much.
Richard Marabito: Thank you.
Michael Siegal: Thank you, Aldo.
Operator: And there are no further questions, I would like to turn the conference back over to Mr. Siegal for any concluding remarks.
Michael Siegal: Yes. Thank you operator. As a closing comment I will reiterate that I am proud of the employees and our response to the industry's challenges and their response to the challenges over the past 18 months. Our efforts in 2015 have made us a stronger company. We continue to provide best in class service to our customers and at the same time manage the company for long term profitable growth and enhance shareholder value. So once again thank you for joining us this morning and for your interest in Olympic Steel. Everybody have a great day.
Operator: And that does conclude today's presentation. We do thank everyone for your participation.